Operator: Welcome to the Zealand Pharma Results for Full Year 2024 Conference Call. [Operator Instructions]. I would now like to hand the conference over to your speaker today Anna Krassowska, Head of Investor Relations. Please go ahead.
Anna Krassowska : Thank you. Operator, welcome and thank you for joining us today to discuss Zealand Pharma's results for the full year 2024 you can also find the related company announcement and annual report on our website@zeelandpharma.com. As described on slide two, I caution listeners that we during this call will be making forward looking statements that are subject to risks and uncertainties. Turning to slide three, and today's agenda. With me are the following members of Zealand Pharma's management team, Adam Steensberg, President and Chief Executive Officer, Henriette Wennicke, Chief Financial Officer, David Kendall, Chief Medical Officer, all speakers will be available for the Q&A session, along with Eric Cox, Chief Commercial Officer. Moving to slide four, I will turn the call over to Adam Steensberg, President and CEO. Adam?
Adam Steensberg: Thank you, Anna, and thanks to everyone for joining today. 2024 was a transformational year for Zealand Pharma with significant clinical advancement across our differentiated obesity pipeline. We were excited to share positive data and progress with [Audio Gap] the one to the two receptor dual agonist, and with cerberutide, a potential best in class COVID tier, the one receptor dual agonist that is being developed by Bergen Ingelheim. Turning to slide five, Zealand has an ambition to become a key player in the growing obesity market and in 2025 we will expand our investments in and continue to focus on delivering on our differentiated mid to late stage obesity pipeline. Furthermore, we remain committed to advance our late stage rare disease programs in congenital hyperinsulinism and short bowel syndrome, where patients are in urgent need for better treatment options. And finally, we are progressing our early stage pipeline of next generation peptide therapeutics in the inflammation space. Moving to slide six, I would like to take a step back and remind everyone why we are so strongly focused on developing new treatment options for people living with overweight and obesity. The obesity pandemic has involved in just 50 years, we have witnessed a substantial increase in the global prevalence of overweight and obesity rising from about 10% in the 70s to 40% to 50% today. More than 5 million deaths globally are today ascribed to overweight and obesity every single year. We are still in the very early stage of the evolution of the obesity market, and in the United States today, only 2% approximately of eligible patients get pharmacotherapy. The important point on obesity is not only whether you are obese or not, but for how long you have been living with obesity? For many, there is a limit to how long organs can compensate for the effects of obesity before they begin to fail. We know that more than 220 complications and CO morbidities are associated with obesity, with the substantial increase in prevalence of overweight and obesity, also among children. I fear that in the coming decades, we will see a significant increase in the prevalence of obesity related co morbidities. The good news is that we now have the first tools available to help address this global healthcare challenge, but we do need many more and better treatment options for the very large and diverse population living with overweight and obesity. This leads me to slide seven. We have seen the approval and successful rollout of the first two, once weekly, tier two, one pay. Therapies to address the global healthcare challenges. In phase three clinical trials of longer duration, they have demonstrated potential for 15% to 21% mean weight loss in patients with overweight and obesity and positive outcomes and several obesity related co morbidities on the flip side, tier the one based therapies are often associated with a number of gastrointestinal adverse events, including nausea, vomiting, diarrhea and constipation, and data suggest that up to 30% of patients with obesity on a tier three one treatment stop within one month before reaching their target dose, and that within one year, 60 to 70% of patients withdraw from treatment. Therefore, we believe there is significant unmet medical need for therapies that can deliver the same degree of weight loss as the GL one receptor agonist, but with improved tolerability and acceptability, including lower frequency and minor severity of gastrointestinal adverse events, so that patients have a more positive experience and can better achieve and importantly maintain a healthy weight loss. Based on clinical data to date, we are confident in the in class potential of our long acting Amylin analog petroleum side that we are developing as an alternative to GLV-1 based therapies with the potential to represent the foundational therapy for weight management in the future. And with that, let's move to slide eight as I turn over the call to our Chief Medical Officer, David Kendall, to discuss our R&D pipeline. David?
David Kendall : Thank you, Adam, and once again, welcome everyone. Today, I would like to focus my remarks on the continued advancement of our obesity programs and provide a brief update on other development and regulatory activities, beginning with petrelintide, let's move to Slide nine. As shown on this slide and As previously reported, petrelintide has consistently demonstrated best in class potential based on results from early clinical trials completed to date, these data have shown consistent and compelling data with respect to both efficacy and safety as well as tolerability, and have provided the evidence necessary to rapidly advance the development of patrolon died as a potential standalone therapy for overweight and obesity. Turning to slide 10 in late 2024 we initiated a Large and comprehensive phase 2b trial with patrolontide in people with overweight or obesity, marking an important milestone for both the petrelintide program and for Zealand Pharma. Zuccream One is a randomized double blind PLACEBO, controlled dose finding trial comparing multiple doses of petrol tide or placebo over 42 weeks of treatment with five active dosing arms, the highest being nine milligrams. As a reminder, the primary endpoint of percentage change in body weight from baseline will be assessed after 28 weeks of treatment, while the trial will continue for a total of a total treatment duration of 42 weeks. To maintain trial integrity, we will continue to execute the trial in a blinded fashion throughout the entire treatment period. The separate team will be unblinded to the primary endpoint at 28 peaks, solely for the purposes of advancing regulatory interactions, with the goal of reducing the time between phase two completion and the initiation of phase three, full unblinding and disclosure of data will only be after completion of the full trial. We are very encouraged by both the rate of study initiation and participant enrollment into supreme one. December 2024 we announced the enrollment of the first participant. Enrollment has been significantly faster than initially anticipated, and we project the completion of enrollment by the end of this quarter. Let's move now to slide 11 in the first half of this year, we are continuing in our execution of the development program for petroleum tide with the planned initiation of a second comprehensive phase 2b trial supreme two is a randomized, double blind, placebo controlled phase 2b trial of petrolatide in people with overweight or obesity and coexisting type two diabetes in this population, data suggests that Amylin agonism may potentially deliver weight loss comparable with that observed in the non diabetes population. Another potentially important differentiation opportunity with Amylin agonists, as compared to GOP one based therapies supreme two will enroll more than 200 adults and will compare three. Doses of petrelintide with placebo over an estimated 28 weeks of treatment, consistent with other clinical trials in people with overweight and obesity, the primary endpoint will be percent change in body weight from baseline, while key secondary endpoints will include change from baseline in hemoglobin, a 1c and change in fasting lipids, now turning our attention to slide 12 and dapiglutide, our dual GLP one GLP two receptor agonist. Dapiglutide is designed as a potent GLP one receptor agonist, targeting significant weight reduction, and offers the potential to also leverage GLP two pharmacology and improve gut barrier function, as well as targeting the low grade inflammation associated with metabolic disease. In 2024 we reported top line results from part one of the phase 1b dose titration trial with dapiglutide investigating the pharmacokinetic and pharmacodynamic effects of dapaglutide treatment with doses up to 13 milligrams given once weekly over a treatment duration of 13 weeks. We are both excited and encouraged by these data, and we look forward to presenting detailed results at a future scientific Congress in the first half of 2025 we look forward to reporting top line results from part two of the phase 1b trial, designed to investigate doses of up to 26 milligrams over a treatment duration of 28 weeks. We also plan to initiate a large phase 2b trial with Daphne glutide In people with overweight or obesity in the first half of this year. And with that, let's turn to slide 13, an illustrative overview of the proposed phase 2b trial design is shown here. This trial is planned to enroll more than 400 adults with overweight or obesity, and will compare multiple doses of Daphne, glutide or placebo with up to five active treatment arms over a treatment duration of 48 weeks, consistent with other trials of incretin based therapies in people with overweight and obesity. Trial participants will follow a dose schedule with monthly dose escalation steps. The primary endpoint will be percent change in body weight from baseline to week 36 and the trial will include a number of key secondary and exploratory endpoints, including an assessment of biomarkers for inflammation, markers of cardiovascular risk and body composition. In this trial, we look very much forward to further evaluating the weight loss potential and tolerability of dapiglutide, while also gaining more insights into the potential of dapiglutide to reduce inflammation, with the opportunity to target specific high risk populations Turning to slide 14 and cervicitis. As reported in late 2024 Boehringer Ingelheim, advanced cervicitis, a dual glucagon, GLP, one receptor agonist into two large registrational phase three trials in people with metabolic dysfunction associated hepatitis or mash. These two trials, leverage in people with moderate or advanced fibrosis and leverage cirrhosis in people with compensated cirrhosis. Are investigating the impact of this novel dual agonist on one of the most prevalent and serious obesity related comorbidities, and we are very pleased with the development progress of cervicitis, a product candidate we believe holds potential as a best in class therapy for both obesity and mash. We are also excited that in 2024 Boehringer Ingelheim has completed participant enrollment for synchronized one and two registrational phase three clinical trials of cervicitis in people with overweight and obesity, with and without type two diabetes, if successful, cervicitis could be the third to market in cretin based therapy and the first dual glucagon, GLP, one receptor agonist introduced in this exciting era of novel weight loss therapies, moving now to slide 15 and a brief update on our rare disease programs for dosing glucagon and congenital hyperinsulinism, we are prepared to resubmit part one of our original NDA for up to three weeks of dosing glucagon treatment as soon as the issues at the Third Party manufacturing facility have been resolved in the form classification, upgrade, subsequent submission of part two of the NDA for chronic treatment of CH i is planned thereafter, as previously communicated in late 2024 we received a complete response letter from the. FDA for the new drug application of glacide for the treatment of short bowel syndrome with intestinal failure. We are working with the agency to align on the design and execution of an additional phase three clinical trial, which will enable us regulatory approval. We expect to initiate the additional placebo controlled phase three trial with COVID, EAS five trial in the second half of 2025 the ease five trial, was already in planning for support of additional global regulatory submissions outside the US and Europe, but will now be based on alignment with the US FDA and designed to support our subsequent us regulatory submission simultaneously, we anticipate submitting a marketing authorization application in the second half of 2025 to support approval of glopaglotide in the EU we remain deeply committed to doing everything we can to bring both of these treatments to patients Living with these devastating rare diseases as soon as possible, and turning now to slide 16 on our early stage pipeline. I'm very pleased that we, in late 2024 progressed our first inflammation asset into the clinic, Zp 9830 is a potent and selective KV 1.3 inhibitor with potential to treat a broad range of cell mediated autoimmune diseases. The first in human clinical trial of CP 9830 is now underway, and we expect to complete the study by the end of 2025 this study is a phase one single ascending dose trial investigating the safety and tolerability of ZP 9830 in healthy male study participants, the study will also investigate the pharmacokinetics and pharmacodynamics of ZP 9830 as compared to placebo. While 2024 was a year of significant progress in our development pipeline, particularly for our obesity assets, we also made significant advancements in our research pipeline as well, partly evident by the progress of ZP 9830 in 2024, we also increased the number of research projects advancing to discovery and lead identification phase by approximately 50% which I believe is strong testament to our focus on continuously working to innovate and develop the next generation of peptide therapeutics. In 2025 we will continue to enhance our early stage research effort, with a particular focus on our obesity plus research pipeline of novel peptides targeting obesity and its distinct comorbidities. And with that, I would now like to turn the call over to our Chief Financial Officer, Henriette Wennicke, to review our financial results for 2024. Henrietta.
Henriette Wennicke : Thanks, David and hello, everyone turning to slide 17 and the income statement revenue for the full year of 2024 was DKK63 million, mainly driven by the license and development agreement with no notice for signal up net operating expenses in 2024 of DKK1.33 billion were within the guidance of DKK1.25 billion and DKK1.35 billion. Net Operating expenses are driven by R&D expenses of 920 million BK, representing 69% of the company's operating expenses. The increase in R&D expenses compared to 2023 is mainly due to clinical advancement of the wholly owned BCT assets, PETRONAS and debut type, including preparation for large, comprehensive phase 2b trials and activities supporting the regulatory review by the US FDA for the rare disease assets, selling and marketing expenses of DKK88 million in 2024 were mainly driven by pre commercial activities associated with launch preparations for the Red Sea's assets. And the increase in general and admin expenses is a result of additional legal expenses related to our patent portfolio and strengthening of organizational capabilities and our IT infrastructure, net financial items shows a net gain of DKK189 million in 2024 compared to a net loss of DKK130.7 million In 2023 this significant improvement mainly is driven by the interest income from the excessive excess liquidity invested in market securities. Let's move on to Slide 18 and the cash position as of December 31, 2024 cash, cash equivalent and market. Securities were DKK9 billion. I'm very pleased with the fact that we ended 2024 with a cash position that was DKK7.4 billion, higher than when we started the year. We truly believe we have, we have an R&D pipeline of promising and differentiated obesity assets, and our strong cash position enable us to significant scale up investment in development of these programs. And this leads me to slide 19, and the financial guidance for 2025, we anticipate operating expenses to be in the rate of DKK2.0 billion and DKK2.5 billion, which is a significant increase compared to 2024 this is mainly to support our mid stage two BTC pipeline and enhance our early stage research efforts, as mentioned by David just now, by the end of 2025 you expect to have three last phase 2b trials actively underway with our who own obesity assets. One last phase 2b trial with platoon ties was initiated in late 2024 and in the coming months, we expect to initiate another phase 2b trial with platoon type. We also expect to initiate a large phase 2b trial with David blue time in the coming months, in addition to the clinical costs, associates be conducting these missed days in BC trials the 2025 OPEX guidance also includes GMT activities, mainly related to API and drug product, but also activities To prepare for phase three. Simultaneously, we are building the next wave of innovation, peptide therapeutics, as mentioned by David, he significantly increased our research effort in 2024 and in 2025 we will continue increasing investment in our peptide research, including our early stage portfolio on novel peptide and obesity and information. Lastly, moving to slide 20, I would like to discuss our work with sustainability. While 2024 was a transformation year for Seaman farmer, it was also a defining year when it comes to our work with sustainability. We launched our first dedicated sustainability strategy, significantly increase our efforts to operate responsibly and build and sustainable organization, while pursuing for pushing, while pushing for positive development of society as a project company whose mission is to transform life through peptide innovation, we face the health and well-being of patients at the center of everything we do, we remain firmly dedicated to advancing our R&D pipeline, with focus of developing new and better medicine to serve patients. And our ability to advance our pipeline and ultimately serve patients rests on our people growing the number of head counts by 30% a season has in 2024 can be a challenge for any company. We are extremely proud and humble that we maintained a very high engagement score of 8.8 on a 10 point scale, and at the same time, we decreased our employee turnover rate to just 7.3% in 2024 we believe this is a testament to our unique company culture and our continuous dedication to foster an engaging and enriching workplace. We are confident that we have built and sustainable organizations set up, and we look forward to continue the growth in 2025 we are also committed to taking responsibility for the environmental impact of our operation and lowering our green gas emissions. This year, we calculated our GSG emissions for both 2023 and 2024 as expected, our emissions lie in our value change activities, with over 99% our mission coming from scope three in 2024 we developed a climate change transition transition plan, and are establishing reduction targets to ensure that our activities are in line with the goals of the Paris Agreement. We remain dedicated to transit for transitioning our company and working together with our business partner to mitigate climate change. And in 2025 we will formally commit to the science based target initiative. And with that, I will move to slide 21 and turn the call back to Adam for concluding remarks.
Adam Steensberg : Thank you, Henriette. I'm extremely pleased and proud of our achievements in 2024 from the very solid organizational and financial foundation that we have built, we expect to accelerate momentum in 25 with important clinical advancement of our differentiated obesity programs and significant progress in our. Early stage research pipeline, we have created a very strong platform for accelerated growth and our pursuit of our ambition to become a key player in the growing obesity space, and thus play our part in addressing what we believe is the biggest healthcare challenge of our time. We look forward to initiating the second planned phase 2b trial with Petrine tied in the first half of the year. In the same time frame. We also look forward to initiating a phase 2b study in obesity with our potential first in class, GLP one, GLP two, dual agonist data type, and announced top line results from part two of the phase 1b trial evaluating even higher doses of dapiglutide with longer duration. These are just some of the many activities that we look forward to in what we see to be a very busy and exciting year for Zealand Pharma. Thank you all, and with that, I will now turn over the call to our operator for questions.
Operator: [Operator Instructions]. The first question comes from the line of James Gordon from JPMorgan.
James Gordon: Hello, James Gordon. JPMorgan, thanks for taking the questions. Firstly, a petri [ph] partnership and the rate limiting factors for getting that done. So can you just confirm? Do you think any more data might be needed, either for your product or for competitor amyloid molecules, might a potential partner want to see category seminar data presented. Or if you think all the necessary data is now available, why wouldn't a partnership say potentially happen in the coming months versus later in the year, or even into 2026 second question on partnership, just how important is it that you retain co-promotion rights in the US and or Europe, versus who the partner is and what they can do for the product. And a final question, just you mentioned the E5 study, which you need probably forget to the US. When do you think that will be done?
Adam Steensberg: Thank you, James, for your questions. I will start by addressing the first one, and then, yeah, I can actually also address the last one. But if we start with the Petrine side, partnering, as you know, we started the process in the second half of last year, and it has been incredibly important for us to make sure that we have run a very structured process. Reached out to as many large pharma companies as possible, making sure everyone who were interested heard our vision for the program, and then starting a dialog with as many as possible. So we have had a very structured process, and what we are also have been saying, and what I feel very comfortable saying today also, is that we are exactly where we want to be in that process is not my sense that we are waiting for additional data readouts or what have you. But for us, of course, with if you are to engage in a long term partnership, it's really important that you get it right. So the three parameters that we have set out for ourselves in the start remains the same. The partner has to be a large pharma company who have a vision of winning in this space, in the in the 30s, and not just be part of it. Then we have to share the vision for petite, about becoming a foundational ultimately, with the potential of a foundational therapy for weight management. And then, of course, it's extremely important also with the cultural fit giving that is a long term partnership, and that's kind of taking me back to to one of the other questions you had, what is important for us in that partnership, when it comes to the more structural elements, and we do think it's important that it becomes a co-development and CO commercialization partnership with profit share, that is what we have pursued. That does not mean that we would have similar operational involvement, or we would try to retain as much strategic flexibility as possible, but it is important that is a true collaboration, and not one which is just a licensing agreement. And I feel very comfortable that that we can achieve that based on the dialogs we have. And I'm can also say that where we are right now it's not about engaging more parties. It's probably more about narrowing the field down. So we are where we want to be. We do not guide on when we expect it. I think that is not in anybody's interest, but we are where we want to be on these discussions, and we feel that it's a very competitive situation on East five again, we plan to start the study here in the second half. We will have an interaction with FDA on the exact details on some of the designs, and we will only communicate on when we expect results at a later time point.
Operator: We will take our next question. Your next question comes from the line of Charlie Hayward from Bank of America Merrill Lynch.
Charlie Hayward: Charlie Hayward, Bank of America. Thank you for taking my questions. I have two please, so the first is on your target Petri, 15 to 20% weight loss. given Cagri saw 12% weight loss, what's your confidence in still being able to achieve the top end of that range? So the 20% weight loss, and what drives that confidence? And secondly, can you remind us of your plan and timeline for your Petri, phase three trial discussion with regulators or the FCA expect to start those. And I think as you're as you're likely to be discussing fairly broad phase three plans, including a CV trial with them from partner discussions you've had to date. Do you think that's a conversation that a potential partner is likely to want to be involved in? Thank you.
Adam Steensberg: Thanks. I'll just start, and then I'll hand over to David. Of course, you can say where we are in the program. As David also mentioned on the phase two enrollment, which is going incredible fast, we need to start to think about phase three planning sooner rather than later. And of course, it is relevant for any party to be part of that so, so we see that and share that observation. But again, we do feel we are set up to also to deliver on those designs, but, but it is, of course, something that would be relevant to consider in these discussions. David, will you address the our considerations, about the 15 to 20% giving, also the data earlier this year and perhaps some other elements.
David Kendall: More than, more than happy to Adam and thanks, Charlie, yes. I think you know, while the CagriSema of data left some with questions unanswered around both the Cagri dose and the impact of amyloid agonists. I think that trial and those results to us gave us additional confidence in the potential of petrelintide, as you know, and as we've shared previously, both Coronavirus are these balanced calcitonin Amylin receptor agonists, which we believe is a critically important feature to achieve the greatest effects on body weight. In addition, petroleum tide, we believe, can be dosed at significantly higher milligram doses, which may support additional efficacy. Similarly, both the bioavailability and the activation, at least at the receptor level, is as good, or in this case, of bioavailability, significantly higher, than Cagri. So while phase two and 28 weeks of exposure may not take us to this target, 15 to 20% which we would expect after a year or more of treatment. All of those features, the physical, chemical and pharmacokinetic, pharmacodynamic features of petrolatide Give me, and I hope others, great confidence in achieving that 15 to 20% and I think as a reminder, people should review labels of the existing GOP one based therapy for obesity, the data with some glepaglutide where, after more extended treatment, they achieved 14.9 to 16% Weight reduction in their phase three clinical trials. So we are often distracted, or if you will, recall things based on recency, which is the dual agonists and the other assets which have achieved 20% or more in terms of phase three startup, premature to speculate, but obviously with completion of the phase 2b studies and end of phase two interactions with the agency, which we would anticipate would happen both near the end of this year and into next year. Phase Three start up, we hope, will be enabled as quickly as possible in the coming year. And then finally, on your question on CBOT, obviously, this is a significant investment. We will want to see both phase 2b data effects on markers of CV risk before that design is finalized, although I can say we have initiated the early parts of that process already, and to your point, pending the partner discussions would obviously welcome a partner into these discussions when it occurs.
Operator: We will take our next question. Your next question comes from the line of Michael Novod from Nordea.
Michael Novod: Michael Novod from Nordea, a couple of questions. So we're starting with the peak to tight. Can you sort of try to detail what you were sort of hoping to see in terms of the 28 week data for 26 milligrams, in order to say that this is a, you know, a qualifying candidate to move forward further with, and where there could also potentially be partnering interest for this, for this asset, in terms of weight loss or other biomarkers. And then secondly, on capacitors, any reason to believe that that EMA would not take the same stance as the FDA, because the CRL was clearly surprising. So maybe you can go into a bit of more details on why we should not expect the same risk on an EMA approval or non-approval. Thank you.
Adam Steensberg: Thank you. Michael. I will just start with Debbie, and then I will hand over to David, but on Debbie with qualifying of the weight loss, I think it's really important for us to kind of state that with Debbie, it's not just about weight loss. We would look to a weight loss that is similar to what we see from the currently available, the ones out there, like perhaps [indiscernible] like weight loss in long term studies, we already know for many patients that is actually enough. And even in today's market, many patients don't take the top doses of the products that are available today. The key differentiator for Debbie is its potential on inflammation and low grade inflammation. So we're looking for weight loss, that you can say, get in the range of what we have today with, let's say a product like teriparatide, and then, of course, ultimately, to have a differentiating opportunity when it comes to addressing low grade inflammation. David, do you want to add further to this? And then also discuss clipper? Please? Yeah,
David Kendall: Absolutely. Thanks. Adam and Michael with DAPI, those biomarkers will be equally important, I will say. And one point to add to Adams is in many cases, the incretin based therapies in earlier studies have been tested only at lower doses. We see that with some Anglo tide looking at higher milligram dose exposures. [Indiscernible], as Adam, referred to, pushing to the 15 milligram dose did occur in the clinical program. It's in the label, but challenging for some to take. So for us, it is both to ensure we see the efficacy on weight loss and understand the tolerability of those top doses, and across that dose range, understand the biomarkers for glepaglutide. EMA certainly has a different set of requirements in terms of substantial evidence of efficacy, and we are obviously engaged with the European authorities and Ema on outlining our submission package, given the differences in requirements and in our eyes, what will be confirmatory evidence from these five which will provide the FDA with the additional evidence they seek. We believe that the compelling evidence that was generated both for reductions in parenteral support and the enteral autonomy, with the single ease one trial can and in discussions with the EMA will serve as the information necessary for approval of this rare disease asset. So I think a number of things give me quite reasonable comment that the EMA will give this a full overview with the existing data package.
Operator: We will take our next question, and the question comes from the line of Suzanne Voorthuizen from VLK.
Suzanne Voorthuizen: First on the paternal side, phase to be study that's ongoing fully understood that it remains blinded until 42 weeks. But I'm just wondering if we could expect some sort of communication from the company around the 20 week time point, not data, but for example, having reached this point, or updates on the regulatory interactions. And secondly, I was wondering if you can share your views with regards to Novo also starting a phase three study with Geraldine tied monotherapy. Obviously, PETRONAS diet seems like a better molecule, but since this is a change in Novo side to also develop this monotherapy, just wondering how you look at this. Thank you.
Adam Steensberg: Thank you, Suzanne and I will also start, and then maybe David have a few extra remarks. But on the we do not anticipate to see. Any data from the 28 week data point, it will be a blinded review. It will probably be obvious from clinical trials, as govern other places where we are in the process, but as that will be reported and but, but we will not share data or observations from that because it is a blinded study group that will look at it. So the rest of us will not have access. We have also, of course, noticed that following those four year results that they have put [indiscernible] phase three planning on one of their pipeline sites, we think it's a good support for the story and the positioning that we have been pursuing for COVID insight for a long time. As David has shared, also with the data, we feel comfortable around the profile of COVID side. We do believe we can achieve higher doses. And you can say, of course, we see this as, again, validation of the approach that we have taken for some time, that that family in monotherapies looks to have a potential for becoming very significant contributors to weight management, pharmaco therapeutic weight management in the future, and we are so fast. It's really an exciting observation, and one which underscores the potential we have with train side, which we truly believe is a best in class molecule.
Operator: Thank you. We will take our next question, and the question comes from the line of Prakhar Agrawal from Cantor.
Prakhar Agrawal: Hi. Thank you so much for taking my questions. Maybe Firstly, a clarification. Adam, the press articles today morning are saying that you're guiding partnerships by end of 2025, early 2026, versus you're not commenting on timing here. So if you can clarify this, please on the potential timing of partnership discussions. And as a follow up discussion around Amlin monotherapy versus combinations, how is that resonating with potential partners, and is there interest from companies that are not involved in the obesity space as you're working through the partnerships? Thank you.
Adam Steensberg: Thanks for your questions. And I would say on your first question around partnership, I think we have been extremely clear and repeatedly, including in all conversations we have had around this release that we do not guide on timing. We raised a lot of capital last year to make sure that we can pursue all the development efforts needed. We also started a partnering process last year. We are exactly where we want to be in this one, but for several reasons, we have decided not to guide on timing for this. When people ask me and ask for my personal perspective, I also happy to say that it's probably more likely to happen this year than next year, but that is also just based on an observation. And some of these points we have discussed today that likely a partner would prefer to be part of Phase Three design and Phase Three discussions, and you basically need to partner up this year to do so. It's not our observation that anyone are looking for more data, but we are not going to guide on it, and we have not changed any guidance on this. Also another disco, or today on the mono and the combo therapy. I think there is a very big recognition of the mono therapy potential. It's a really attractive, you can say, consideration to enter a market with a potential new modality, where you don't have to go in and fight for your share of an established market, but actually can tap into a novel market, addressing patients who and with a novel modality, and not just trying to take market share from something that is already quite established. So it is obviously the monotherapy that is creating the most exciting having said that, of course, that is a recognition of the potential of combination therapies. I mean, Novo have always shown us, both from a weight loss perspective, what you can what you can envision to achieve with that when you start to combine these and we have a deep recognition also that there are, of course, segment of patients who need the higher weight loss. We are also just very firm that the majority of the obese individuals will not be looking for a weight loss that is approaching 30% the majority of patients will be looking for one which is around 15 to 20% weight loss. But of course, there are patients who need higher weight losses. There's also patients who may need that extra support during the weight loss phase, and then less doing the weight maintenance, where a monotherapy would then come in. So we recognize the potential of both. That's also why we plan to start a combination study later this year with a tier one. But the most excitement is and remain on the more. COVID therapy, the opportunity to create and develop Patriot side as a novel foundational therapy for patients. And then you can always add a little bit of glute one on top of that, if the patients need more or need more in the weight loss phase.
Operator: Thank you. We will take our next question, and the question comes from the line of Rajan Sharma from Goldman Sachs.
Rajan Sharma: Thanks for taking my question and just on the partnering point. Sorry to ask another one on this. But could you just kind of remind us how you think about the optimal timing for this partnership? I guess the question that I'm trying to ask is, beyond the additional capital that a larger partner may bring, at what point do they add value to [indiscernible] inside development process, beyond what Zeeland can do alone, given that you probably have as much experience as any company with the mechanism itself. And then secondly, sort of related to that just on that combination trial with the GLP one Is that likely to come after a partnership has been announced? Just trying to think about what the identity of that GLP one partner could be, or is there potential to initiate a combination with DAPI? Thank you.
Adam Steensberg: I think you you're going to get the goal for the most sneaky question, because I just told you that we plan to start the year to one campus study later this year, so that I cannot comment on if a partnership will be before after, we start the campus study with the other one. But nice try, I would say, having coming back to the partnering process, we have had a very good process. We are exactly where we want to be. We have the conversations we want to have right now. We is not our feeling that we need more data. It is really and then you talk about what is the optimal timing? One thing is, of course, phase three design. Another thing is, at one point we also a partner will have to consider manufacturing investments and so on, but, but again, we are not going to comment on timing. But as you can imagine, we have a process, and we have been following that process, and we are exactly where we want to be on it. Okay?
Rajan Sharma: Maybe just on the maybe less sneaky than the bit that I also asked on the DAPI combination, could that be a potential combination partner with petrol and tide?
Adam Steensberg: I think actually DAPI is also an interesting combination partner, but it's probably not what we would do first, because you want to, you can say the first combination experiences. You probably want to work with a product where you have, you can say better understanding of a digital to one component before you start to combine. We don't want to use two molecules that are that early stage, but obviously later in the process, they could be an interesting considerations for sure.
Operator: Thank you. We will take our next question, and the question comes from the line of Benjamin Jackson from Jefferies.
Benjamin Jackson: Great. Thank you for the question, team. So firstly, just a very short one on the DAPI part two data is the hope here to present it alongside the 13 week data at the medical conference. That is that is referenced this year. Is that the hope, or is it too early to think about because we haven't had the readout yet? And then the second question is more about the rationale of supreme two and the obese diabetics. Here is the end goal, to try and find a label for obese diabetics with this molecule, obviously noting the different impact on HBA 1c that it has, or is it more of an exploratory study? And alongside that, what is building confidence of the potential difference of Amylin, when you look at the weight loss in obese individuals versus obese diabetic individuals, I think some data has pointed to that potentially there's a little bit more weight loss relative to GLP ones in diabetic individuals. What builds confidence around that? Is there anything you can point to for us for this trial? Thank you.
Adam Steensberg: Thanks. I will start, and then David can add. So the 26 week data point is probably one which we will release when we have the result meeting, so we cannot time it around the 13 week data that is going to be presented at a scientific conference due to disclosure obligation. So, but it is set to read out this first half. So of course, it could be closed, but we cannot commit to that yet. And then on Supreme two, it is really started to assess, of course, the weight loss, potentially in obesity, individuals with type two with diabetes, where, as you noted, we have quite compelling data to show that, where we have seen that ML and analogs looks to be as effective in from a weight loss specific perspective, in patients with type two diabetes as non-patients living without diabetes, which is not the case for tier two one. David, do you want to add a little more to this?
David Kendall: Benjamin, a really good question. Petrell and tide and Amylin agonists, I think, have two and perhaps more distinct characteristics in their putative mechanism of action. One is in contrast to GLP ones and incretins, remember, are named incretins due to their capacity to stimulate additional insulin secretion, particularly in the post meal period, but chronic elevation of insulin. Remembering that insulin is an anabolic hormone, it's a storage hormone, so when you stimulate insulin secretion, particularly in those with diabetes who have a relatively poor glycemic control, you will take those circulating calories and store them to your point. M on agonists are not put forth to be as potent a glucose lowering agent, given that its effects are mostly on gastric emptying and glucagon suppression as well as food intake. But in addition, there is evidence that Amylin agonism, way back to the [indiscernible] and other asset days, is also insulin sensitizing. So both insulin sparing and insulin sensitizing characteristics of amyloid agonist in those with diabetes would be expected to maintain the weight loss you see in the non-diabetes population. Obviously, to your point, if glycemic control is, you know, substantially poorer and is desired. Are these likely to be the most potent glucose lowering agent? I think the data with COVID, tide versus semaglutide show that for glucose lowering GLP, one agonists are likely to be the most effective. But for weight loss alone, we believe Amylin agonism can maintain the same degree of weight loss in the diabetes as non-diabetes population, probably due to those factors I mentioned and others that will be explored.
Operator: Thanks, Benjamin, thank you. We will take our next question. Your next question comes from the line of [indiscernible] from Deutsche Bank.
Unidentified Analyst: Hi. Just one question for me, please. What you hoping to show with your phase 2b supreme one data in the non-diabetic, obese population, and what more do you think this will tell you around the clinical profile of Petri than we already know from your data last summer? And just finally, do you think you need this data to realize full value of any sort of partnership discussions? Thank you.
Adam Steensberg: Thanks for the question. With regard to partnership discussions, it is not our you can say believe that further data are needed to continue these discussions. I think we have a very strong data package and good alignment on what the data shows, of course. So I would say it's not with data readout from between two and three are not related to the discussions we have on the on what we expect to see from that data set. What we have said high level is that it should just continue to confirm our target profile of being able to achieve 15 to 20% weight loss in longer term phase three studies. So of course, ultimately, one thing is the number we will achieve after 48 weeks, but the other one is, of course, the slope of the curve and what have you. Because, in general, with weight loss medications, you expect to see continuous weight loss over time, in particular with molecules which patients can then stay on for sure. So we are not giving a specific guidance for what we expect from that number, that would be more complicated, but as long as we are confident we can achieve 50 to 20% then we will be very happy in longer term studies.
Operator: Great. Thank you. Thank you. Thank you. We will take our next question. The question comes from the line of Thomas Franken from KBC Securities.
Thomas Franken : I want to ask one question, given that you view Amylin as a potential backbone therapy and obesity, what is your strategy for this target, beyond battery? Do you plan to explore alternative or less frequent dosing regimens, for example, or monthly versus weekly dosing. Thanks.
Adam Steensberg: Thank you for your question. I think number one we are. We truly believe that once weekly dosing is a very attractive administration form for patients. But having said that, of course, we also recognize that others could, some patients could potentially prefer less frequent dosing or other modalities. And it and we are investing at a you can say bench work into exploring different opportunities for also changing, making longer. You can say formulations that allow for less frequent dosing and all ethnic. Situation. But these are all life cycle management activities that will only get into the clinic in a partner framework, where we would, of course, you can say, hope to continue to build the franchise out around the train site. But the key focus is, of course, the ones weekly dosing, getting into Phase Three obesity and then rapidly also progressing into associated comorbidities, to truly build improving CV outcome studies, to truly build what we believe can be a foundation of therapy, but there's plenty of opportunity to then expand around the franchise for sure. So thanks for that question.
Operator: Thank you. We will take our next question, and the question comes from the line of Kerry Holford from Berenberg.
Kerry Holford : Thank you very much. Couple of questions after me please, with regard to the phase three preparation investment that you does that relate to both bedroom and diet and dab your tide? And I wonder if you can just talk about exactly what you are looking to entail here, and in the context of thinking about phase three, is there any scenario under which you would consider pursuing that next stage of development on your own for both or one of those two products. Then, with regard to the phase 2b program, the petrol inside, I wanted to check, are you measuring body composition, quality of weight loss in both between one and two. I can see on your slides between one, but also second study. And then, essentially you talk to great lengths about the differentiation potential for petroleum side intolerability. So I just love to hear your expectations of whether the body composition angle could be a key point of differentiation for this drug. We say, thank you.
Adam Steensberg: Thank you. I'll start and then hand over to David again. So the faith, the investments that you are looking at this year is, of course, number one. We have three large phase 2b studies that are going on, but we are also going all in and investing in all the activities needed to progress as shifty as possible into Phase Three for both programs. And it is, of course, additional smaller, clean farm studies. It's, it's manufacturing a drug product. It's actually scaling up, you can say to make sure we have the right batch sizes that can also be continued into commercial scale is device development to make sure we have the right the right device options when we move into Phase Three, it's all those things that we typically, typically don't talk too much about, but incredibly important to move in with confidence into phase three, especially when you're addressing a large disease like obesity, you need to have thought all these elements through and invested in them in good time, and that is what our investments are going into this year for Phase Three initiation. Is it's not our ambition to get into Phase Three alone, but again, we are not guiding on when we will have the partnership, but we would definitely expect to move into Phase Three with a partner. But that doesn't change the fact that once you start phase 2b you need to start the phase three planning big time and make these investments into devices, API, drug, product and so on, which is what we're doing already now. David, maybe you want to talk a little bit about the phase two design, body composition, solubility and differentiation.
David Kendall: Thank you. Happy to Adam. And as Adam said, phase three enabling work is fully underway. The body comp, as noted in supreme one, will be component of the outcomes, as we are doing this by Mr. Measurements, RI This is dedicated sub study, because you need the technology and the centers that can execute the Mr. Measurements bit more specific to lean mass, meaning muscle mass versus fat mass, than is DEXA At present, the opportunity to measure body comp in supreme two is also present. The mechanism by which we'll do that remains under discussion. But we believe should body composition measurements in supreme one demonstrate that preservation of lean mass, as has been demonstrated in animal models, that doing so in a more generalized fashion, for example, using DEXA, is possible. But Mr. As I said, is perhaps the more specific. You also ask the question as to whether this can or would be differentiated. Writing, if I refer to the more recent FDA guidance or draft guidance on obesity programs, the same questions exist at the agency as exist for all of us, and that is, can you preserve functional lean mass, certainly losing muscle mass, and then one who is sarcopenic or losing muscle mass, inherently older adults, those who are less active, those who may have complicating conditions, would be critically important. So getting functional measures at some point in phase three, whether that be grip strength, six minute walk, other things will also, in our mind, be important alongside those specific measures of fat versus muscle and or lean mass. So yes, we will continue to pursue this, and least clinically. I believe in selected circumstances, this could be a very important differentiator.
Operator: Thank you. We will take our next question, and the question comes from the line of Laura Hindley from Morgan Stanley.
Laura Hindley: Hi. Thanks for taking the question. So yeah, following on the theme of phase three planning. Can you remind us what your current cash position would support in terms of development progress for your wholly owned obesity pipeline assets. And then back on the theme of quality of weight loss, on your slide for dapiglutide phase 2b design, you have a body composition endpoint. Is there any evidence that you would flag to suggest that GLP two would have a differentiated effect on quality of weight loss. And then finally, when you're having your negotiations for partnership around petroleum tide, is there also any discussion around dapiglutides, or is it entirely focused on Amylin for now? Thank you.
Adam Steensberg: Thank you for your question. I'll start by answering the last question, and then Henriette will provide some favors on the cash position, and maybe David, you can discuss the last question, but we are very focused on Katrina in these partnership discussions, and try not to complicate it with Debbie. So, so that's the simple answer to that one. And I think that's so that will be next, once we have concluded, the train side, he later do want to discuss this? Yes,
Henriette Wennicke: Hey, Laura, thanks for your question. As you know, on the runway, you don't really guide on the runway anymore. And of course, we have a step up in Oak Ridge now in 2025 compared to previous years. But I think, as you also recognize, there are a lot of moving pieces when it comes to our runway, you have a very sufficient cash position, 9 billion Danish in the bank as we start the year. And of course, as we progress, we can, we can easily fund phase two. And then we will, of course, also when time comes, you will see revenue streams coming in from server two time. And then, of course, there will be potential partnership, both on platoon time, but also already said that run rate. So I think we are in a very good spot where we have the cash available to fund the activities we have at hand and also progress some of these, initiation of phase three activities that would be required early on. We actually invest table in that as well. So when we have the cash news for now, I think that's it. David?
David Kendall: Yes, Laura, to discuss your second question, the quality of weight loss and DAPI, I would say we're investigating this for two reasons. One is to understand, is this similar to or distinct from other GLP, one based therapies, where, obviously, when you profoundly food restrict the muscle mass loss can occur. There is not, to my knowledge, any direct effect of GLP two on preservation of lean mass or any specific signals. This is a growth factor in some ways, so there is at least the theoretical potential the other day. Point of Interest is, if inflammation is substantially impacted, which we believe it may be, will that change, if you will, the metabolic environment of adipose tissue. So adipose tissue in those with overweight and obesity tends to be affected by an inflammatory micro environment. If we can diminish that micro environment, do we at least see the capacity to mobilize fat stores? So I would not go into this hypothesizing for you that we will see a difference, but I think important for us to understand one, is it like other agents and the GLP one based therapeutic classes, and is there any other unique effect that may come from GLP two, either directly or indirectly, through its effects on inflammation?
Operator: Thank you. You. We will take our next question, and the question comes from the line of Jesper Ilsøe from Carnegie.
Jesper Ilsøe: Thanks so much. A question for Eric Cox, it's a bit more broader question, but you previously worked in [indiscernible], which were acquired by boss, so perhaps you can share your sort of view on the general deals phase in the obesity market today versus back when you worked in karma. Because I think a typical question we also get is, yes, we have very good PC as a small model innovation, but we haven't yet seen the bigger deals, and we are starting to see some deals happening from China for smaller, smaller early stage assets. So just interested in your view and sort of what is, sort of the barriers to these bigger deals happening or holding a tech. Thank you.
Eric Cox: Sure. So, thanks for the question. I think it's difficult. It's difficult to predict to kind of what that future looks like. But I think we all know that in the last 12 months that we've seen quite a significant change in the marketplace. I think that we start to learn more about the GLP ones, and we start to see is where there's new opportunities. And I think, as Adam it has already articulated, I think we're starting to see is that the vast majority of the patients are still seeking between 15% to 20% weight loss, and they're looking for new therapy. So it's hard for me to predict is where we're going and what's going to what's going to do a deal, but I think we know this market is constantly evolving and will continue to evolve, to look for more, improved maintenance, to give them a better overall patient experience.
Operator: Your final question comes from the line of Julian Harrison from BTIG.
Unidentified Analyst: Hi. This is Ray on for Julian. Congrats on all the progress, and thank you for taking our question just a couple from us on Glepaglutide. First, is it abundantly clear that an additional study is necessary in the US, or is there an opportunity to potentially refile based on the existing data? And then, as a follow up to that, what could the approximate timeline to refiling the NDA for glycoglutide in the US look like thanks.
Adam Steensberg: Thank you for that question. We are quite certain that we need to do is these five so, so that is definitely the plan right now, and based on the feedback we have, as David has said, we feel comfortable around you can say the first phase three study and also agreeing on the effect and a safety profile for the FDA has asked for more evidence, so we are quite confident we have to do another phase three study. We do not yet guide on when we expect to have data ready and thus be able to resubmit the NDA, but we plan to start the phase three study in the second half of this year, and then we will provide more clarity on timelines. Thank you.
Operator: Thank you. This concludes today's question and answer session. I'll now hand back to Adam Steensberg for closing remarks.
Adam Steensberg: With that, we would like to thank you all for attending and for your questions. We look very much forward to future announcements and updates and to connecting in the coming weeks and months. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.